Operator: Welcome to Warner Music Group's Fourth Quarter and Fiscal Year 2012 Earning Call for the period ended September 30, 2012. At the request of Warner Music Group, today's call is being recorded for replay purposes, and if you object, you may disconnect at any time. [Operator Instructions] Now I would like to turn today's call over to your host, Mr. Will Tanous, Executive Vice President, Communications and Marketing. You may begin. 
Will Tanous: Good morning, everyone. Welcome to Warner Music Group's Fiscal Fourth Quarter and Full Year 2012 conference call. Both our earnings press release and the Form 10-K we filed this morning are available on our website. Today, our CEO, Steve Cooper, will update you on our business performance and strategy; our Executive Vice President and CFO, Brian Roberts, will discuss our financial results; and then both of them will take your questions.
 Before Steve's comments, let me remind you that this communication includes forward-looking statements that reflect the current views of Warner Music Group about future events and financial performance. All forward-looking statements are made as of today, and we disclaim any duty to update such statements. Our expectations, beliefs and projections are expressed in good faith, and we believe there is a reasonable basis for them. However, there can be no assurance that management’s expectations, beliefs and projections will result or be achieved.
 Investors should not rely on forward-looking statements, because they are subject to a variety of risks, uncertainties and other factors that can cause actual results that differ materially from our expectations. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our earnings press release and Form 10-K and other SEC filings.
 We plan to present certain non-GAAP results during this conference call. Revenue data we provide on today's call will be on a constant currency basis. We have provided schedules reconciling these results to our GAAP results in our earnings press release posted on our website.
 With that, let me turn it over to Steve Cooper. 
Stephen Cooper: Thanks, Will. Good morning, everyone. Thanks for joining us today, and a special welcome to those of you who are new to our calls. Before we begin, let me wish you all a happy holiday season from all of us here at the Warner Music Group. 
 We were very pleased to meet with so many of you in the context of our successful November refinancing. The refinancing increases our operational and strategic flexibility. And Brian will discuss this in more detail later on the call.
 First, let's turn to our financial results. For Warner Music, this has been an exciting and productive year, and we've had an excellent quarter. In our fourth quarter, we grew revenue by 2%, or 7% on a constant currency basis. We grew adjusted OIBDA by 9%. We expanded our adjusted OIBDA margin by one percentage point to 15% from 14%. And we grew free cash flow by $132 million. Adjusted OIBDA excludes the impact of certain items relating to the acquisition of our company by Access Industries, expenses incurred in relation to the sale and subsequent regulatory review of BMI and equity compensation expense.
 Our cash balance improved to $302 million as of September 30, 2012. That was up from $219 million in June and $154 million at the start of the fiscal year. This steady cash build allowed us to use our $101 million in cash from our balance sheet as part of our refinancing, and we continue to be very committed to delivering solid free cash flow in the quarters to come. We accomplished all of our year-over-year financial improvements thanks to a number of factors including our strong release schedule, our continued cost management efforts and favorable industry trends. 
 I'd like to call out one significant achievement. For both the quarter and fiscal year, we grew combined worldwide digital and physical sales in our Recorded Music business. In the quarter, digital and physical Recorded Music revenue grew 14%, with both digital and physical contributing to the growth. In the fiscal year, digital and physical Recorded Music revenue grew 2%, with 13% growth in digital sales more than offsetting the 6% decline in physical sales. This marks our first fiscal year in 5 years where physical and digital sales grew on a combined basis.
 We also excelled this quarter in U.S. unit sales growth. In fact, according to SoundScan, our U.S. track-equivalent album unit sales, a combined digital and physical measure, were up 7% in the quarter, our best year-over-year unit growth in nearly 5 years. Additionally, our total U.S. digital unit sales were up 24% in the quarter, our best year-over-year performance in 4 years. And this compares very favorably to the strong 12% digital unit sales growth achieved by the industry. Our U.S. track-equivalent album share measured by SoundScan was up nearly 2 percentage points to 20%, our highest quarterly share in 2 years.
 Industry-wide, the U.S. recorded music industry, as measured by track-equivalent album sales, remains relatively stable. After growing 3% in calendar year '11, U.S. retail sales for the first 9 months of '12 were down about 1%, while we remain flat. Important recorded music markets around the world are also showing positive trends.
 In Japan, the second-largest global music market, while the digital business is having a tougher year, down 27% year-to-date, physical product sales are having a strong year. Physical units, which represent about 80% of sales for the market, are up 9% year-to-date through September, driving overall growth in the market. In the September quarter, total physical unit sales grew 29%, largely fueled by 3 key releases from Warner Music Japan. In fact, these releases, for local superstars Kobukuro, Tatsuro Yamashita and Superfly, were 3 of our top 5 album worldwide sellers in the quarter and helped to double our album share in Japan to 12% as measured by Soundscan. 
 In Germany, the third-largest global music market, total calendar album units were down 2% for the industry through September compared to a flat performance in 2011. However, thanks to the success of acts such as Udo Lindenberg, Linkin Park and Die Toten Hosen, we were up 16% in unit sales in the comparable period and overtook Sony in singles and album chart share to become the second largest company in chart share in the market for the period. 
 In the U.K., the fourth-largest global music market, the rate of unit sales decline has moderated over the course of the calendar year, an encouraging sign. Total album sales declined 8% in the September quarter, following declines of 15% and 13% in the March and June quarters, respectively.
 All the signs continue to indicate that digital is fueling a return to growth in the music industry. The download business, which was the first wave of the digital music business, continues to expand. 
 We recently signed a deal with Google covering the Google Play download store, which has already launched in the U.S., as well as the scan-and-match locker service, which has launched along with Google Play in the U.K., France, Germany, Italy and Spanish markets. We are excited about this deal, as the rapid global penetration of Android-platform phones makes it particularly important to have another strong retail player focused on this platform. 
 We're also encouraged that last week, Apple announced the launch of the iTunes store in Russia, Turkey, India, South Africa and an additional 52 countries, bringing its total presence to 119 countries worldwide.
 The newer segments of the digital music business, particularly subscription services, are growing at an even faster rate than download services. We are optimistic about the recent launch of Xbox Music, Microsoft's new all-in-one music service, which offers streaming, radio and ad-supported or paid subscription services at a download store. This service will be available in 22 countries and is available on Xbox gaming consoles and Windows-based computers and tablets. 
 In August, the Deezer subscription service launched in new markets in Africa, the Middle East and Asia, bringing its total footprint to 160 countries. Spotify, the world's largest subscription service, also continues to make progress in growing its subscriber base. As of December, Spotify reported that it has 5 million paying subscribers, up 25% from the 4 million reported in August. 
 Perhaps the greatest weapon in our battle against piracy is the availability of popular and affordable legitimate digital music services, which is why we are particularly encouraged by the successes in the newer segments of the digital music business. 
 Education and enforcement also continue to be important tools in anti-piracy efforts. That's why we look forward to the kickoff of the U.S. Center for Copyright Information's Copyright Alert System. This initiative, which was first announced in July 2011, has now completed its lengthy development process. Participating ISPs, including AT&T, Verizon, Comcast, Time Warner Cable and Cablevision, will soon launch their systems to alert customers of copyright infringements identified by rights holders. Repeated infringers will receive alerts accompanied by mitigation measures. We are hopeful that the Copyright Alert System, which is a private initiative among ISPs and the content industries, will educate consumers and lead to a reduction of piracy in the U.S.
 Now I'd like to provide some further performance highlights for each of our operating companies for the fourth quarter. In Recorded Music, we grew constant currency revenue 9% with, as mentioned, meaningful growth in both digital and physical revenue. We increased digital revenue to 37% of worldwide Recorded Music revenue and 57% of U.S. Recorded Music revenue, up from 33% and 48%, respectively, in the prior year quarter. We improved adjusted OIBDA by 24%, and we expanded adjusted OIBDA margin by 2 percentage points to 13%. 
 In Music Publishing, we grew constant currency revenue 1%, with improvement in both mechanical and digital revenue. Although our Music Publishing adjusted OIBDA margin declined this quarter due to revenue mix, the margin for the year was up more than one percentage point to 29%. This was the result of the successful execution of our A&R investment and acquisition strategy, which is focused on investing our resources in higher-margin assets.
 As mentioned, this quarter's achievements were driven by our strong release schedule, both in the U.S. and internationally. In addition to the Japanese releases that I mentioned, we saw worldwide success with Muse's recent release, The 2nd Law, which reached a top 5 chart position in numerous markets around the world. This was Muse's fourth consecutive #1 in the U.K. and a career-best chart position on the Billboard 200 and #2 in the U.S. In the U.S., we had #1 albums from Trey Songz and Matchbox Twenty, which for both artists were their first #1 albums on the Billboard 200. 
 We continued to build on the momentum of our fiscal fourth quarter releases with a number of exciting first quarter 2013 releases. In November, we released, in several CD and DVD configurations, Celebration Day for Led Zeppelin, a live album and film of the band's historic 2007 concert at London's O2 arena, their first headlining show in 27 years. The premium bundle debuted in the top 10 on album charts in 25 markets throughout the world. 
 Earlier this week, Bruno Mars released his sophomore album, Unorthodox Jukebox. The first single from Bruno's new album, Locked Out of Heaven, has already sold over 2 million tracks. The first quarter also includes Dos and Tre, the second and third albums in the Green Day trilogy, as well as holiday albums from Blake Shelton and Cee Lo Green. Additionally, Blake and Michael Bublé each recently had televised primetime holiday specials. 
 Our artists have also recently been recognized with prestigious Country and Latin music awards. At the Country Music Association Awards held in November, Warner Music Nashville Artist Blake Shelton won 3 major honors, Entertainer of the Year, Male Vocalist of the Year and Song of the Year, and Atlantic's Hunter Hayes won Best New Artist. These awards reflect our continued momentum in Nashville. 
 At the Latin Grammy Awards, also held in November, Warner Music recording artists and Warner/Chappell songwriters Jesse & Joy were the biggest winners of the night, picking up awards for Song of the Year, Record of the Year, Best Contemporary Pop Vocal Album and Best Short Form Music Video. Additionally, Warner Music recording artists and Warner/Chappell songwriters El Cuarteto de Nos won Best Rock Song and Best Pop Rock Album. 
 Last week, nominations were announced for the 55th Annual GRAMMY Awards, and once again, the Warner Music Group artists and songwriters have been nominated for many of the top honors across the wide variety of genres. With no artist receiving more than 6 nominations this year, 2 of our artists are in this distinct group, Fun and Dan Auerbach of the Black Keys. Atlantic Records artists received nominations in all of the top 4 categories and across the 8 songwriting categories. 19 Warner/Chappell songwriters were nominated for 20 awards, including Song of the Year, and Warner Bros. and Nonesuch artists were also well represented. We wish them all success at the awards ceremony in February.
 I'd also like to congratulate Atlantic Co-Chairman and COO Julie Greenwald and Warner Bros. Co-President and COO Livia Tortella on being named by Billboard as 2 of the year's Top Women in Music. Julie is celebrated as the #1 Woman in Music for the third consecutive year, a very much-deserved recognition and honor. 
 A&R, which includes both identifying and developing artists, remains at the center of what we do. As such, we're pleased that Cameron Strang will add to his management responsibilities the Los Angeles-based Warner Bros. Records. Cameron, who has broad knowledge about the Music Publishing and Recorded Music businesses, will now oversee all of the WMG's West Coast U.S. operations, including Warner/Chappell and Rhino Entertainment. 
 We also announced that Mike Caren, who signed Trey Songz, T.I., Flo Rida and B.o.B., amongst others, was recently promoted to President of Worldwide A&R. With this impressive track record, we're excited to have Mike take on this new global role. 
 In Music Publishing, we made 2 key creative hires as we continue to strengthen Warner/Chappell and the services it provides to our songwriters and publishing partners. In September, we appointed Jon Platt to the newly created position of President, Creative - North America. Jon, who previously served in the same capacity at EMI Music Publishing, will oversee Warner/Chappell's A&R activities in North America and play a key role in shaping the company's ongoing strategies. He is widely considered to be one of the industry's most influential music publishing executives. And during his 17 years at EMI, the hit-makers that he personally signed at the outset of their careers include Jay-Z, Kanye West, Beyoncé, Usher and Snoop Dogg. 
 In October, Ben Vaughn was named the Head of Warner/Chappell's Nashville Operations. Ben comes to us from EMI Music Publishing, where he became the youngest executive to ever lead a major publisher in Nashville. Speaking of Nashville, Warner/Chappell had meaningful wins during Country Music Week in October. Warner/Chappell songwriter Ben Hayslip was the big winner as the ASCAP Country Music Awards, collecting numerous honors, including Songwriter of the Year for the second year in a row as well as the Song of the Year for Blake Shelton's Honey Bee. 
 At the BMI Country Music Awards -- Country Awards, 7 Warner/Chappell songwriters received Most Performed Song awards, including Brantley Gilbert, who recently re-signed with Warner/Chappell. Also in the quarter, Warner/Chappell continued to strengthen its catalog by extending its worldwide administration agreement with legendary songwriter Barry Gibb, one of the most influential and successful songwriters of all time.
 I'm very proud of the strides we've made over the course of the fiscal year, and I'm encouraged by the industry trends. We continue to believe that the music business offers great opportunity for those with the right strategy in place to capitalize on its momentum. 
 I'll now turn it over to Brian, who will discuss our financials in more detail. 
Brian Roberts: Thank you, Steve, and good morning, everyone. Steve described some of the highlights of our quarter, including revenue growth, adjusted OIBDA, margin and free cash flow. I'll provide some further specifics. 
 Free cash flow improved this quarter to $80 million from a negative $52 million in the prior year quarter. And for the fiscal year, free cash flow of $151 million compares favorably to negative $221 million in the prior year. Free cash flow for the quarter was calculated by taking cash provided by operating activities of $102 million plus capital expenditures of $8 million and cash used for investments of $14 million. 
 In the prior year quarter, we had a number of uses of cash related to our acquisition by Access which were out of the ordinary, including: $179 million in cash outflows paid to shareholders and option holders net of capital contributions; $70 million in deferred financing fees related to our new debt obligations; $46 million in professional fees, $44 million of which were paid during the fourth quarter; and $34 million in cash paid for tender/call premiums and interest related to the refinancing we did in 2011 in connection with the sale to Access.
 Our cash balance of $302 million at September 30 was up $140 million in the fiscal year. Wanted to take this chance to remind you that the December quarter, the first quarter of our fiscal year, is traditionally a negative working capital quarter due to marketing outlays and the timing of collections on holiday sales. Additionally, this year, we had cash outflows in connection with our recent refinancing, where we used $101 million of cash from our balance sheet to complete the transaction. We continue to be keenly focused on cash management and remain comfortable with our ability to continue to generate cash over the course of the new fiscal year.
 As Steve mentioned, we grew constant currency revenue by 7% as a result of our strong release schedule and improved market conditions. From an OIBDA perspective, certain adjustments are needed to make the year-over-year comparison more meaningful. In the current year quarter, we've had $8 million in fees related to the regulatory review following the sale of EMI. And in the prior year quarter, we had $46 million of transactional expenses related to our acquisition by Access, $14 million related to the acceleration of share-based compensation expenses following the acquisition by Access -- we did not have similar share-based compensation expenses this year -- and $1 million in professional and other fees related to the sale of EMI. Backing out these adjustments, adjusted OIBDA for the quarter grew 9% to $111 million and adjusted OIBDA margin expanded more than 1 percentage point to 15%.
 In Recorded Music, we delivered 9% constant currency revenue growth. Combined digital and physical revenue grew by 18% in constant currency. Recorded Music adjusted OIBDA grew by 24% to $77 million, and adjusted OIBDA margin expanded by 2 percentage points to 13%. Increased digital revenue was driven by significant growth in streaming and subscription services from Spotify and Deezer. Additionally, we saw growth in digital download revenue both in United States and internationally. 
 Artist service as an expanded rights revenue declined 20% in constant currency, primarily as a result of decline in tours operated by our European concert promotion businesses, particularly in France, and represented 11% Recorded Music revenue as compared to 16% in the prior year quarter. Although this revenue may continue to fluctuate due to the timing of tours, we also expect the passive components from our expanded rights deals to continue to grow as artists signed to these deals mature in their careers. 
 While Music Publishing constant currency revenue grew 1% this quarter, adjusted OIBDA and adjusted OIBDA margin declined slightly, principally as a result of revenue mix. In constant currency, mechanical and digital revenue both grew in the quarter, with mechanical revenue helped by the timing of certain distributions. Synchronization revenue was down slightly due to lower video game licensing activity in the United States, and performance revenue declined as a result of an industry-wide reduction in the U.S. around radio licensing fees, as we mentioned last quarter.
 We remain on track to achieve the 9-quarter cost savings target we announced on August 11, projected in the $50 million to $65 million range. These cost savings have allowed us to offset other cost increases in our business. We mentioned last quarter we expected CapEx for the year to be about $30 million. CapEx came in at $32 million for fiscal 2012, and we expect a slightly higher level in 2013 as we continue to invest in long-term upgrades to our IT infrastructure. With these and other initiatives, we will continue to focus on driving further efficiency throughout the organization.
 As Steve mentioned earlier, we were pleased to complete a refinancing of some of our existing indebtedness on November 1. As part of the transaction, we repurchased or redeemed all of the $1.25 billion of our 9 1/2% senior secured notes. To complete the refinancing, we entered into a new $600 million secured senior term loan facility at floating rates including a LIBOR rate option of LIBOR plus 4% with a 1 1/4% LIBOR floor. We issued $500 million in senior secured notes at 6% and EUR 175 million in senior secured notes at 6 1/4%. As part of the refinancing, we also retired our $60 million revolver and replaced it with $150 million revolver. 
 At the same time, we also completed consent solicitations related to our outstanding unsecured notes to amend the terms of those notes to increase our capacity to incur additional secured indebtedness in the future. As a result of the refinancing, we expect annualized cash interest savings of approximately $42 million. Additionally, the refinancing provides us with more flexibility around the capital structure, particularly a greater ability to delever at our option.
 It is worth noting that, as part of the refinancing, we paid $93 million in tender/call premiums, $34 million in consent fees and $45 million of accrued interest in connection with our retired debt. Therefore, in fiscal 2013, we will not immediately see the full cash impact of the interest savings.
 Overall, we are pleased with our cost management, margin expansion and business transformation efforts this year. We are confident that our continued investment in our core competencies of A&R, marketing and promotion; our expanding and evolving digital footprint; and a more stable industry environment position us well for the future. 
 Before we open up for Q&A, I wanted to make one further remark. As you know, there's been a lot of press speculation lately regarding EMI asset disposals on both the Recorded Music and Music Publishing side, including whether or not we are involved in those divestitures. It is our policy not to comment on potential M&A transactions, so I please ask you to keep that in mind for Q&A. And I too would like to just wish everyone a very happy holiday season. 
 And with that, operator, please open the line for questions. 
Operator: [Operator Instructions] The first question is from Aaron Watts from Deutsche Bank. 
Aaron Watts: Of course, after your last statement, I just have one kind of periphery question on the M&A side. Just if you were to find an opportunity on either the recorded or the publishing side, what -- how should we think about that in terms of the impact it might have on leverage of the company? 
Stephen Cooper: Well, without commenting on anything specifically, Aaron, on the acquisition side, just to reiterate what we indicated to our bank group or potential bank debt holders and bondholders on our roadshow, we take a relatively conservative approach to the M&A environment. They've got to be the right assets at the right price. And I think, as we mentioned during the roadshow, we have no compelling need to bulk up just to bulk up. This is a very long-term hold for Access, and this is about running a highly successful, highly sustainable business for essentially in perpetuity. So that's just to reiterate our M&A philosophy. On the -- if and when we do make acquisitions, again, as we mentioned with respect to our balance sheet, we also take a conservative view. We do not want to be in a position of being overlevered. The intent is to keep our ratios in line with a conservative approach to leverage and to utilize excess cash, if and when we have it, to continue to reduce debt. And in fact, the terms and conditions of our bank debt reflect that conservative policy and that conservative outlook. We were able, as a result of the refinancing, to provide for some additional flexibility by way of incurring secured debt. But debt incurrence is always with an eye towards a conservative balance sheet and a conservative capital structure, Aaron. 
Aaron Watts: Got it. Okay, that's really helpful. And just one other question from me. Obviously, the growth in kind of streaming and subscription services is really benefiting you guys right now. And I know I've asked you this in maybe different ways, but I figure every few months is more track record behind you. And I'm curious, as we maybe make the shift from people owning music to deciding to rent it or stream it, can you maybe just remind us again or what your latest thoughts are on how that impacts Warner Music? And, I guess, as a hand in to that, do you need people to actually pay or subscribe to those services to make it work out for you? Or does free-based usage work out for you as well? 
Stephen Cooper: Well first of all we love downloads, we love subscription, we love streaming, because all of it contributes to the growth of music, the growth of the industry, and the expansion of all of these services around the world are frankly, from our perspective, very good news. The -- I think studies have indicated that subscription by way of the subscription fees times the number of months a year versus heavy downloaders make it slightly better for the economics of subscription, not the economic model per se, but just the frequency of buying and download versus subscription. So that continues to be a very nice model for us. And even with freemium, where we're paid -- typically we share in the ad revenues. That also appears to be a good and growing model, Aaron. But the good news, I think, is despite the specifics of any particular model, that when you look at the framework that Apple, Amazon, Google and Microsoft and others are providing, it's the ease of use, the convenience, the synchronization with multiple devices and a very affordable economic model that, a, not only do we believe is -- provides tremendous value to the consumers, but ultimately, we're hopeful it will have an impact on piracy. So we look at all of these models as good, supportive of a -- of an industry that hopefully is growing again, supportive of consumer value and supportive of having an ameliorating impact on piracy, Aaron. 
Operator: [Operator Instructions] The next question is from Andrew Finkelstein from Barclays Capital. 
Andrew Finkelstein: A few for me. First, I guess, in the Recorded Music business, you had a great quarter on the physical side. I think from the geographic breakdown, it does look like certainly international had a good overall sound in Recorded. I was wondering if you could give us a little more color on the breakdown there on physical. I don't know if it's in here if physical in the U.S. -- but just a little more color on the physical and Recorded line? 
Brian Roberts: I think that the way we've performed last quarter, last year, versus the year ago, prior year quarter, we had very big success with Michael Bublé's Christmas release. He sold, I think, an excess of 6 million albums. And the lion's share of what he sold was physical. And when you take a look at that release compared to the quarter of the prior year, where we didn't have such a substantial physically related release, it actually boosted both the U.S. and many of the international markets. I think the one exception that we had, Andrew, in that whole thing was France. It's not actually a territory where Christmas music is a popular genre. But when you look at it, that's what's really driving the growth in that year-over-year quarterly view. 
Andrew Finkelstein: Great. I know -- I think the press release mentioned some of the Japanese artists. 
Brian Roberts: Yes. Well, that also was a big part of it. When you look at that Japan as well, 80% of the market in Japan is physical. So we had some of the big releases that Steve mentioned in his comments that were released as well, and that drove growth also. 
Andrew Finkelstein: Can you tell us what percentage of the business Japan is or what growth was there in the quarter? Do you have that? 
Brian Roberts: Yes, we don't break that out, Andrew. I actually don't have that with me right now. 
Andrew Finkelstein: Okay. And kind of on the flip side in the quarter, the artist services and expanded rights business was down again, and you mentioned the touring. It's a substantial -- I mean, certainly, on -- for the line item and on the margins, it's a decent decline, I guess. And are we through the sort of tougher comps on a year-over-year basis? Or is this -- does this keep going? 
Brian Roberts: Andrew, just based on what the plan is and the touring cycles for the artists that we do business with -- we do business both with our artists and third-party artists, and just unfortunately this year we did have a very tough comp as it related particularly to the French business where we had tours in the prior year by -- I think it was the Black Keys was one of the big acts that we had, not our act, and Christophe Maé, which is our act. This year, that touring cycle just didn't repeat. So when you have a year-over-year comp, and the touring cycles don't match up, we're going to see that. Fortunately, while this impact is very big on the top line, as you said, the impact from an OIBDA perspective is not that significant, because the margins are relatively tight in that business. And we will continue to see top line pressure as it relates to touring cycles around those concert promotion businesses. But that said, the other elements that are in that line item are the expanded rights that we pick up with our artists that we -- the 360 elements, where we have passive rights around touring, ticketing, merchandising, fan clubs, some publishing. We're seeing those revenue streams grow as the artists that we have signed to those deals begin to get more mature in their careers. So that'll temper some of the volatility on the top line, but touring cycles are still going to drive some up and down on that line, Andrew. 
Andrew Finkelstein: Okay. And then, I guess, you mentioned it briefly, Brian, the working capital. It looks like it did swing positively in the fourth quarter in terms of cash flow to provide more of a benefit, I think, than last year if we're doing the numbers right. Is that just the calendar this year, and does that unwind next quarter, or... 
Brian Roberts: Well, it's -- it is definitely what you said. It's a positive swing in the quarter. So part of it was we did have the shipments in Japan around those physical releases. So we had a nice benefit from a increase on a receivable, as it relates to that. And then we also ended up with just some other increases around payables as it relates to just the timing of accruing payables later in the year for us, and then they just flow out in the quarter. And as I said earlier, our first quarter is typically a negative working capital quarter just around the commitments we have around the releases from a marketing and promotion perspective, the payments of those payables that built up at the September quarter and the fact that the bigger holiday sales that we have, the collections occur in Q2 for us. 
Andrew Finkelstein: Okay. And then I think there was some -- there was severance in the quarter. Do you have the -- I don't know if I missed it in the press release. Is it broken down between the 2 segments of the business? 
Brian Roberts: Yes, it is. In the press release, it's broken down there. It's -- the press release goes through, for the quarter, we had a $14 million in severance. For the quarter, $11 million was Recorded Music, $2 million was publishing and $1 million was corporate. 
Andrew Finkelstein: Okay, great. I'll go back and make sure I find that. And then just last one. Just maybe, there have been some more management changes which you guys went through. I guess, you're -- it seems like, well, your net at least recorded down a couple of top executives, Lyor and, I guess, one of the co-presidents of Warner. I just -- I mean, the loss of 2 executives, their relationships, the talent, I mean, do you think -- is there some more hiring that needs to fill in even at the lower levels? Or -- for the talent side, or do you think the company is good sort of with the people left in the ranks right now? 
Stephen Cooper: Well, first of all, we've got, at all of our labels and Warner/Chappell, Andrew, tremendous A&R talent. And while it's always painful to lose senior executives, we've got very good backups. We've got good bench strength. And I don't see this as creating any real setback with respect to our business or our artist relationships. In addition, we are always on the lookout for new talent. And we regularly bring new talent across the board, whether it's in A&R at the label level, whether it's at corporate, whether it's in publishing, as mentioned during this call, on a regular basis. So I don't see that as creating any current or ongoing problems. 
Andrew Finkelstein: Okay, and then you mentioned -- last one for me. You mentioned some of the releases, I mean, just sort of big picture. And I know the release schedule around. But, I mean, as you look into -- well, the end of this year, by calendar '13, I think -- how do you think the release schedule sort of stacks up on a macro level? Just if you had to characterize it versus sort of calendar-ish '12 or your fiscal '12? 
Stephen Cooper: Well, we typically, given the nature of the industry, don't like to discuss specifics with respect to our release schedule. So without going into specifics, I think that when we look at '13 we think that it is a strong schedule and easily comparable to last year. And in addition, we continue to have some very good carryover, Andrew, so I think when we look at the carryover plus the scheduled releases, we're pleased as a company with where we stand on that. 
Operator: The last question comes from Adam Spielman from PPM America. 
Adam Spielman: Just 2 brief ones for me. Just at a high level, Music Publishing was -- call it flat this year, maybe down on a little top line. I know there's been some moving pieces as we've gone through the year just reported. As we look forward, are there any kind of nonrecurring things that are still going through that business? And is it -- is there any reason we shouldn't just kind of continue to think about that as kind of a flat business on the revenue and EBITDA lines? 
Stephen Cooper: No, I actually don't think that's the right way to look at it, so let me take each piece. While GAAP requires us, Adam, to look at revenue, the more appropriate measurement is the net publisher share, at least in my view. Put aside the accounting regulations for a moment, the real focus, it seems to me, ought to be on net publisher share, because that's the piece that comes to the company. So what we've been doing over the last couple of years is we made a concerted effort, a, to stabilize and commit to a steady stream and a steady level of investment in the Music Publishing business, that's number one, so that we can anticipate ongoing growth in our net publisher share and our OIBDA. That's number one. Number two, we've made a conscious effort to not renew or avoid or eliminate the very low margin publishing undertakings where for a very low percentage, we administer large publishing deals that don't provide us, from our perspective, with an adequate return on our capital or our efforts. Now there will always be exceptions to that, obviously, where we have a very, very long-standing relationships with the songwriter and artist, and so you shouldn't take that as a universal rule. But as a broad strategy, we're eliminating our low-margin business. So what I would expect you to see over time is the growth in NPS, the growth in NPS as a percentage of revenue, which is reflective of the enrichment of our business and the ongoing investment and the growth in OIBDA. So I don't think you should look at this as a business that, from a growth perspective, is flatlined. 
Adam Spielman: Okay. Second question, just not to belabor the various definitions of EBITDA that have -- that you guys use, but just so I understand how you guys think about this business. These normal kind of severance-related charges, not the deal-related charges and not the bank-defined EBITDA -- but I mean, how do you look at the profitability? Do you not want to add back those severance charges because they are, in effect, ongoing, you're constantly restructuring the business? 
Stephen Cooper: Well listen, putting aside how we calculate for covenant purposes, I think that there's always going to be some level of severance in any business. It's just normal. And in fact, I would argue that management is not doing their job if, in fact, you don't see at least some base level of severance where we continue to upgrade the long-term quality of the organization. From time to time, we will have exceptional incurrences. As we reshape, reorganize, restructure, "all of the above" the businesses. So I expect, when I look at EBITDA in -- whether it be this business or any business, that a normal part of doing business is ongoing severance. And on occasion, there's an exceptional spike as a result of reshaping, refocusing, rechanneling the business, which you could argue, based upon what side of the coin you're on, it should or shouldn't be included. But I think you should always have an expectation that, if management is doing its job and one of those jobs being always succession planning and upgrading the quality of the organization, that there will always be some amount of severance incurred by the business in the ordinary course of doing business. And guys, just to correct one thing Brian said, they really do like the holidays in France. 
Brian Roberts: They like the holidays. They may not like... 
Stephen Cooper: But they do like the holidays. I don't want to leave anybody with the impression that France is against the holidays. So anyway, listen, that being said, if there are no more questions, I hope everybody has a safe and wonderful holiday season, and we look forward to re-engaging with you in the new year. So thanks, everybody. Have a great holiday and be safe. 
Operator: That concludes today's conference. Please disconnect at this time.